Operator: Welcome to the conference call. (Operator Instructions) At this time, I would like to turn the conference over to your host today, Mr. Bjorn Sjaastad.
Bjorn Sjaastad : Welcome all of you to this presentation of Frontline’s results for the fourth quarter of 2007, and for the full year results of 2007. If you look at the agenda item on the presentation that has already been posted on our website on Page 3, we have the agenda, where first of all I will go through the main highlights of the 2007, and then our CFO, Inger Klemp, will go through the financial review. We then turn to the market update and then outlook, and then we open up for questions and comments. So if you then turn to the next Slide 4, financial highlights, we are happy to present to you our figures for Q4, which were better than Q3. Our net income came in at $202 million after gain on sale of assets being shares and ships of $144 million giving us a net income excluding gain of $58 million for that particular quarter. The earnings per share came in at $2.70, and the dividend that we paid in that particular quarter was $3.25. For the full year 2007 our net income came in at US$574 million including then a gain on sale of shares and asset of $323, giving a net income from operations only of $251. So total earnings per share for 2007 came at $7.67 and the dividend that we actually paid in 2007, came was $11.09. That includes the dividend of the Ship Finance shares that we did in the early part of 2007. And the Board has declared a dividend pertaining to the fourth quarter result to be paid in the first quarter of $2 per share. And we are particularly happy since the negative trends in Q3 were turnaround by the hike in the market for tankers that came in the latter part of November. Now, there is a time lag for that and faith into our figures, but we were able to increase our results on the double-hull VLCCs from about $35,000 to about $43,000 a day. And the double-hull Suezmaxes going spot from $28,000 to about $37,500 a day. So, that was [audio distortion]. If you then look at the major transactions that we did both in Q4 on Slide 5, the next slide. We have a split in the US$144 million, sale of shares of Dockwise, $48.7 million, which is following that transaction that we entered into last year. And we also sold our Imarex shares with a net profit of US$41.9 million. We have been holding on to the Imarex shares for a long time, we were one of the initial shareholders in that company. We now feel that it has no strategic value for us and in order to have that it was better to sell the shares to somebody else that can help bring the company further. We also have made agreements in Q4 to terminate the charters for the three single-hull ships, the Birch, Maple and Duchess and the Birch was just delivered actually in Q4. And whereas the two others will be delivered in Q1 and the gain then will be recognized in Q1. We also delivered the second converted in heavy lift vessel Front Target to Dockwise in December last year. So, also that gave a profit of $144 million. If you then look at Slide 6, where the transactions done in total in 2007 until 2008, it follows very much our strategy to dispose of our single-hull fleet. And of course, with the oil spill that not we but the world has experienced in Korea, just lately we see that there is becoming even more difficulties in operating single-hull tonnage going forward. And the total gain that we had on our heavy lift transactions so far in 2007 was about $153 million, split on sale of shares, issuance of shares and sale on vessels. We also sold our shares of Sea Production last year, $71 million, and the four single vessels within that proceed of $57 million, and then the Imarex shares of $42 million being $323 million altogether. So basically, we have been spending a lot of effort in selling assets, but we have also ordered some. So we ordered two Suezmaxes at Rongsheng in 2007 that we have reported, of course, before. What we also have done now is that we have made a financial investment and minority investment in a company called Navig8 Ltd., which is Singaporean company. It’s an operator in the key petroleum products market. We have taken 15.8% share for about $20 million. So this, as I said, is financial investment but it also gives us a foothold in the CPP market. We’ve also decided now to spin off 20% of ITC and a separate company to be listed on the OTC, over the counter, and actually which will done in Q1, Q2 this year, as soon as the practicalities have been arranged. If we then turn to Slide 7 we are into the P&L, and then, Inger if you can take us from there.
Inger Klemp: I will go through the preliminary fourth quarter and financial year 2007 results. Frontline reports significant income of $202 million and earnings per share over $2.70 in the fourth quarter 2007. That includes gain on sale of the assets and securities in total amount of $144 million. This gain relates to gain on sale of vessels in an amount of $53.4 million reported then gain from sale of assets that’s representing $37 million in connection with the delivery of the second converted heavy lift vessel to Dockwise and then $16.4 million in connection with termination of the lease of Front Birch. Further a gain on sale of shares in Dockwise in an amount of $48.7 million and a gain on sale of shares in Imarex in an amount of $41.9 million we just reported in other financial items in the fourth quarter of 2007. Net income then excluding these gains was $58 million in the fourth quarter, compared to $19 million in the third quarter. The main reason for the improved result is a stronger stock market, which has resulted in an increase in results from early on time charter basis. And as a result of the stronger market we have also recorded a profit share expense to Ship Finance of $16.1 million in the fourth quarter, which is the $10.7 million higher than in the third quarter. Total operating expenses in the fourth quarter compared to the third quarter had decreased and that’s mainly as a consequence of a reduction in ship operating expenses, as a consequence of a reduced fleet due to the sale of vessels, which we have been talking about and fewer vessels drydocking in the fourth quarter than in the third quarter. The company recorded interest expense in the quarter of the $67.5 million of which $14 million relate to ITC and $44.1 million relate to the capital lease interest expense. This is in line with the third quarter. Frontline reports net income of $524 million and earnings per share of $7.68 for the financial year 2007 and that includes gains on sale of assets and securities in a total amount of $323 million. These gains relate to then gain on sale of vessels in a total amount of $117.8 million which was supported a gain from sale of assets and gain on sale of shares in Sea Production, Dockwise and Imarex in a total amount of $122 million reported in other financial item. And then thirdly, a gain on issuance of shares in Sealift and Sea Production in the first quarter of 2007 in a total amount of $83.6 million, reported in gain on issuance of shares by our company. Then moving to Slide 8, the VLCC fleet earned in the stock market approximately $43,600 per day for double and then $31,300 per day for single. This gave an average spot earning of $43,000 a day and the average for the whole fleet was about $45,700 per day in the quarter that includes also time charter. This is next fleet earned in the stock market approximately $37,500 per day for double and then $24,900 per day for single-hull vessel with an average spot earning of $30,400 per day. The average for the whole fleet was about $33,100 per day in the quarter. And the OBOs earned $42,400 per day in the quarter, and at the sea vessels are not included in these numbers. The TCE numbers that we show that Frontline has outperformed its competitors, which have announced their numbers in the fourth quarter of 2007 so far, but underperformed the market due to that we exceed in time lags and earnings in an upward moving market. The results show a continued differential in earnings between single and double hull tonnage and the differential is about $12,000 per day in the fourth quarter. Moving to Slide 9, in the fourth quarter we have drydocked three vessels which is two less than the third quarter of 2007. The vessels in question are Front Falcon, Front Warrior, and Front Page. As you can see from this slide we have average OpEx of approximately $9,500 per day in the fourth quarter compared to approximately $9,009 per day in the third quarter. OpEx per day has decreased compared to the third quarter mainly as a consequent of fewer vessels drydocked in the quarter. In the full year 2007, we have drydocked 15 vessels compared to 19 in 2006. The average OpEx in 2007 is as you can see now $9,600 per day compared to $9,000 per day in 2006. And the main reason to the higher OpEx in 2007 in spite of that we had drydocked fewer vessels than in 2006 is that to drydocked in 2007 the expenses as a consequence that we had to do more new renewals than we had expected. A weak dollar has also contributed to the increase in OpEx as most of the machinery and equipments originate from non-US based countries. Turning to look at the off hire situation, we had less off hire days in the fourth quarter than we had in the third quarter and that’s mainly related to that drydocking. And this is also the case for the full year 2007 compared to 2006. Then we are moving to Slide 10. The total balance sheet is approximately $290 million less than in the third quarter of 2007. Free cash has decreased in the fourth quarter compared to the third quarter due to that payment of dividends based on the second quarter earnings were paid in the begin of the fourth quarter. Due to the same reasons other current liabilities have decreased in the fourth quarter compared to the third quarter with $112 million accrual for the second quarter dividend payment. Book value or marketable securities have decreased in the fourth quarter due to the sale of the Dockwise share, and is estimated in unconsolidated subsidiaries and associated companies has decreased due to the sale of Imarex shares. This equity is $465 million up for the end of December 2007. The Frontline share trade today at a share price close to $46, has a market cap of $3.4 billion and enterprise value of $5.8 billion. Moving to Slide 11, the cash cost breakeven rates are approximately $31,400 per day for the VLCC, $22,500 per day for the Suezmaxes and $24,100 for OBO. The cash cost breakeven rates does not allow for the contract coverage the company has. Assuming that the contract coverage is used, subsidized to spot vessels we will need a lower breakeven rate for the spot vessels. The cash cost breakeven rate has increased mainly as a consequence of higher ship operating expenses. Then moving to Slide 13 and 14, the number of vessels in the Frontline fleet is 74 vessels including the vessels from commercial management and the ITC vessels and is compounded by 39 double hull VLCCs, seven single-hull VLCCs, one single hull Suezmaxes, 18 double hull Suezmaxes and eight OBOs. We have contract coverage of 39% in 2008 and 30% in 2009. The average net ton shorter rate for the total fleet is $41,300 per day in 2008 and $41,500 per day in 2009. And with this, I turn over back to Bjorn again.
Bjorn Sjaastad: We will focus on the markets. On Slide 15, we are showing the earnings according to Clarksons both for the VLCCs and for the Suezmaxes and you can see that the dramatic increase in rates that happened at the end of November and corresponding reduction that we saw in January into February. Then it’s been going up again and it’s moving a little bit sideways right for the time being. Still, the present level is at a healthy level compared to previous periods. There are no particular external factors behind the spike or the decline. It really demonstrates that there is a pretty tight balance of ships and it’s a function of the supply and demand for tonnage. And we think that there are many reasons why it went up, we thought that the market should improve earlier than it did because we saw that the oil stocks were going down. Another factor is also the pricing from the Saudi oil reducing the price to the US, incentivizing the Americans to buy oil. Another aspect is that quite a few ships were slow steaming in Q3 due to the high bunker cost and that also took away capacity from the market. For the future, well very much depends upon the OPEC production, will they keep it at present level? Will they increase? Or will they reduce? Its also function of the stock levels going forward, but we expect in a way that it will follow at least the seasonality. We have conversions that will take out quite a lot of capacity also in the first half of this year. I just mentioned previously then the skimmer that collided with a barge of Korea spilling quite a lot of oil and that has led the world market or the choppers to be more reluctant to charter in single-hull vessels. But definitely the biggest question mark is the world economy and the growth or lack of sale in the US and its impact on the world economy. If you then turn to Slide 16, factors driving demand, we’ve shown this before and I will go through some of these items in as we go along. Slide 17, shows the economy and oil demand and here we have, all the IMS has revised down the world economic growth for 2008 to 4.1% that is basically triggered by the reduction in the US growth rate. And of course there is a negative sentiment, particularly in the US. There are still Asian economies are expected to grow at healthy levels here, but this is something we can only follow. Also the corresponding oil demand expectations and they have them revised down somewhat from the IEA, but still it’s close to 2% growth expected and above what was in 2006 and 2007. Slide 18, oil price and structure shows that the oil price which has now been more stable for the last month between $90 to $100, little bit less than $90 and also the correspondingly very high bunker costs. But more importantly for us is the price spread of the four months and the one-month and so then the future curve of the oil price. And then normally, when the oil prices in the container rise, we’ll say that’s good for shifting because then it pays you to buy and store oil. But now it’s been in backwardation for a while and it was slightly into contango when the Arabs reduced prices in November, but the backwardation is not that huge as it were earlier last autumn just about a $1 difference now. But still there is not a real incentive to store oil. Slide 19, the oil production that is up and that is very positive for the tanker market and we can see why from mid 2006 and until mid 2007 there was a slight decline in the world oil production. Another the important factor for us to consider is the crude oil stocks. On Slide 20, we have good, reliable, and updated figures for the US. We will see that there is a growth in the stock level that from a low level and that we fall lower than what we were at the same time last year. But above the five year average curve right now. And we also see that refinery inflation is low in the US. If you then turn to Slide 21, we look now at the supply cargo ships which normally or very often times are critical to rates and values. There are 490 VLCCs of which the double hull fleet is 354 and the non-double 136 and the order book is 174 in Q4. And from this curve, we see that 38 will be delivered in 2008 and 65 in 2009 and is a pretty huge order book compared to the existing fleet. If you look at the Suezmax fleet in Slide 22, it’s about a same, even though it’s a lower proportion of single-hull tonnage to the order book. There are 47 single-hulls or non-doubles and the order book is 134. We also see here that there are only few coming into the market in 2008, but a lot in 2009. For both these ships categories, VLCC and Suezmaxes, quite of a few of these ships are ordered in China, quite a few are ordered at new shipyards. And I think it is fair to say that there is an expectation that there might be delays in the deliveries of these ships. In any case when we say that 68 Suezmaxes will be delivered ‘09, some will be delivered early in the year and some late. There is a six months delay factor coming into the market so that this will be more evenly spread out. And due to the financial uncertainties, there might also be yards and or ship owners that might experience problems in being able to take delivery of the ships. So things might happen here. But the biggest factor for the short-term supply or net supply that is on next slide. We demonstrated that on Slide 23, which are the conversions. And even though the dry cargo market have at the end of last year and that you have the improvement in the tanker market, we still believe that there will be a high degree of conversions being carried out in 2008. Last year about 226 of these went out of the market for conversion purposes and 20 Suezmaxes. And most of these went out to the market in the latter part of the year not getting the full effect in 2007. And the plans for 2008 according to our investigation of the information that we’ve received from various sources, of that 38 VLCCs will be deleted or converted in 2008. With 33 planned for VLOC and five FPSO, while the Suezmaxes it’s about 10 ships that will be converted. And if you now look at Slide 24, we see the kind of net supply overview which really for the VLCC shows in fact a decline in the number of ships in the market next year. And for Suezmaxes it is only a net increase of seven ships. According to the figures that we feel are reliable today but of course we will try to follow this and report this on every quarter. If we now turn to Slide 25, we just show that the prices and the time charter rates for VLCCs. The price is being both the new billing prices and second hand prices, for the various five year old ship and still we can see that even in the very low market in Q3, the prices didn’t fall much and the new billing prices did not fall at all. And we also have listed up some sales that really have taken place. And the same has been for the time charter market, but the few transactions but those have been done has been at about the same level, as in previous periods. But I think it’s important to say that it is a thin market, but I think it shows a reluctance to both fix and to sell ships. Because if you are going to order a new ship today, you pay close to $150 million in Korea, and with delivery let’s say 2011. And you pay a lot of funds so they are ready for sea, of course this is more close to $165 million. In the same picture you can see on Slide 26, of the Suezmaxes fleet with the rising new billing prices, and rising second hand prices and stable time charter market for an one to three years time charters. But also a limit of markets for both as most owners are sitting on their tonnage. We then look at the final for the prospects in Slide 27. We have just shown the FFA market which is of course also a very volatile market for just for reference only. I think to say that the front months still oil prices in backwardations and we know that the quite a few are moving then the ban on single-hull ships forward. Both the Koreans and also all over the Philippines has less impact. We think the conversions are on practice but they drop in dry bulk earnings. The big question mark is then the global economy and its impact on world oil demand and ton-mile that is in the end what we are looking for. To Frontline as such we had a good pace into Q1 from the pictures done in late Q4 and also the first part of Q1. We also have sales profits that we will receive in Q1 addition to some payment penalties from a court case that went in our favor. And we also think that we will have a strong across the quarter including a good dividend pay out also from that based on the results in Q1 that will be paid. So that was really ends what we intended to say, and I’ll open up for questions. And also joining us here today is our Director of Chartering, Stephen Elgin. So please go ahead with your questions or comments, and we’ll try to answer as well as we can.
Operator: (Operator Instructions) We will now take the first question from Doug Mavrinac - Jefferies.
Doug Mavrinac - Jefferies: First, when looking at how well your VLCC fleet performed during the quarter, we know how strong rates were towards the end of the quarter, but you really outperformed many of your competitors, and outperformed some of the estimates that many brokers put out there for charter rates during the quarter. What do you attribute such an outstanding performance to during the quarter? Did you have many days open towards the backend or how would you describe your chartering activity during the fourth quarter?
Stephen Elgin: I think we had no more shifts at the end of quarter then some of our competitors. I think the difference whether we somewhat sold the possible rise in the market and held back, and accepted some strategic rating in order to cut the height to the market.
Doug Mavrinac - Jefferies: And also since the last earnings call, we did see the oil spill in South Korea. How has that changed your thinking, as far as how rigidly enforce the upcoming high amortize deadline is likely to be?
Bjorn Sjaastad: We think that it will have an impact, particular the Koreans. They have stated that they have brought forward the ban in single-hull tonnage, and they will reduce the number of ships in Korean waters. But, of course, it will be influenced by the market as well. The best of the market, the less reluctant they will be, but definitely it will have an impact.
Stephen Elgin: I think also the IMO regulation will be enforced, but some countries will be ahead of that. Today, Venezuela announced that no more single-hull tonnage will be allowed to call any of their terminals, which in practice doesn’t change very much from the last few years, but it’s a quite strong signal effect.
Doug Mavrinac - Jefferies: Bjorn, you mentioned in your commentary about the number of vessels on order at Greenfield yards within the tanker sector, a lot of discussions has been had about that impacted these orders that you also don’t exist yet in the dry dock sector could have to that particular sector. But have you quantified how many vessels within the tanker market could be impacted by the fact that there are unordered yards that don’t exist yet?
Bjorn Sjaastad: No. We haven’t quantified that. That’s more what we hear around, so it’s more to have an economy for that might be happening.
Doug Mavrinac - Jefferies: You and Navig8, would you say that indicates an increased level of interest on Frontline’s part in the product tanker sector? And do you foresee ever there being a possibility of Frontline ever investing directly in product tanker vessels?
Bjorn Sjaastad: Which is exactly yes, definitely we could do that. The fact that we now invested, yes, it is a financial investment and it’s a rather insignificant investment compared to the total balance sheet and the total rich profile of Frontline, but still that reflected into that market, yes.
Operator: Your next question comes from Omar Nokta - Dahlman Rose.
Omar Nokta - Dahlman Rose: Last quarter you talked about you had one of the Suezmax vessels under KG fleet. They had a purchase option on, and that you might be exercising that in December or are you planning on doing that this year?
Bjorn Sjaastad: It hasn’t been done because it paid us a lot to wait another year because purchase options and the price of the values.
Omar Nokta - Dahlman Rose: So you’ll just wait till maybe the end of this year.
Bjorn Sjaastad: Yes.
Omar Nokta - Dahlman Rose: Last quarter you talked about basically first quarter would be the last quarter where you pay basically, as much as possible out of cash flows, and then you’d revert to EPS? Is that still the plan going forward or are you going to go back to paying out dividends out of cash flow?
Bjorn Sjaastad: No. I think that the dividend policy of Frontline is stable and that is to stay that everything that we make and that we basically don’t need for running the company with this present opportunities and obligations, we will pay out to dividend. So I think it was more to say that there were some transactions, structural transactions that were done, and that also impacted dividend capacity significantly last time. But later on we have also sold single-hull ships and we have also sold the Imarex shares. So that will also be impacted, but long term it’s basically what we make that we will pay out.
Omar Nokta - Dahlman Rose: Basically with all the cash brought in, and then you’re going to be taking roughly 80% out of your credit out of debt, so everything else that sort of that is paid out as dividends for most part?
Bjorn Sjaastad: Yes. Well, we paid already about $100 million on the new building program. And there is another $100 million to pay before we have reached 20% down payment for all those ships, and that’s our plan. And after that basically we will cover the remaining 80% of the new building installments by bank borrowings.
Omar Nokta - Dahlman Rose: Are you able to give guidance on what your VLCC have averaged thus far into the first quarter?
Bjorn Sjaastad: No, no. We have not been giving that, and we think that’s very difficult in such a volatile market. And, now we are already approaching at this mid-February and time is flying, and we are presenting figures every three months. So, I think that should be okay.
Operator: Your next question comes from John Kartsonas - Citigroup.
John Kartsonas - Citigroup: On ITC, can you give us some figures maybe year-end numbers, net income, maybe free cash flow from ITC?
Inger Klemp: The year-end net income was about approximately $10 million, year-end.
John Kartsonas - Citigroup: And on free cash flow, do you have a number there? Or is there any free cash flow in the structure?
Inger Klemp: I don’t have that in my hand.
Bjorn Sjaastad: But, when you said free cash flow, that’s one of the things that we have advised before that with the present financial structure there is limited free cash flow for the time being in ITC to be dividend without this to shareholders, and that’s what something that we are working on. So basically, the ITC the way we handle that now it’s a kind of two-step. First of all, we dividend now from 20% and we have a separate listing on the OTC enabling kind of trading of the shares. But second, we are working on winding some of the structures in order to get liquidity out sooner or rather than later. But, this is presently limited by the bond structure of the financing of the company.
John Kartsonas - Citigroup: So the listing is going to be of the entities, it’s going to be obvious, right. The $10 million of net income and of the cash flow, and they are existing their structure
Bjorn Sjaastad: Yes. Initially, yes.
John Kartsonas - Citigroup: Inger, can you give us some numbers on CapEx meaning you said about $93 million in Q1 for the new buildings, is there anything else remaining from the conversions?
Inger Klemp: You mean the heavy lift conversions?
John Kartsonas - Citigroup: Yes.
Inger Klemp: Yes, there is some remaining there as well.
John Kartsonas - Citigroup: How much is that for 2008?
Inger Klemp: In fiscal 2008, it’s approximately $48 million.
John Kartsonas - Citigroup: And probably that’s going to be all with that or you are going to use any equity on that?
Inger Klemp: No, that’s something we will do by financing by equity. At the same time we will, of course, receive rest payment from Dockwise in connection the conversion of these heavy lift vessels. As you might know we didn’t receive the full payment upfront. We will receive the remaining $80 million at the end of when we deliver the last vessel.
John Kartsonas - Citigroup: And also can you for ‘07 for VLCC, Suezmaxes, and OBOs, what was approximately OpEx per day? You gave the combined number, but just, or where the industries today maybe have a general number?
Bjorn Sjaastad: Well, you saw what we had presented within our figures. The figure of 9006, I think there was about 1,000 in differential between the VLCC and Suezmaxes. But that’s also related to the kind of edge profile of the ships. So definitely when you look at the total figures for Frontline, it’s some of the single-hull ships that have been drydocked is driving cost up.
John Kartsonas - Citigroup: But where will you say that market is today for VLCC, is it around 8,000, 9,000?
Bjorn Sjaastad: I think it is about 8,000 before drydocking shares.
John Kartsonas - Citigroup: And about 1,000 differential for the Suezmaxes?
Bjorn Sjaastad: Maybe it is, but it’s currently difficult to say right now because it’s been quite escalating cost for running ships and particularly crew person gone up dramatically over the last year, and it’s very much depends upon the vintage of the ships and the repair and maintenance costs of it.
John Kartsonas - Citigroup: On your profit sharing just remind us this is settled on a quarterly basis on a calendar, here, right. Or is it on a voyage basis? Meaning like for the fourth quarter was it like until the end of December that the profit sharing was calculated or?
Inger Klemp: You are talking about the Ship finance that which we’ve announced.
John Kartsonas - Citigroup: No that’s the single-hulls with the Chinese.
Bjorn Sjaastad: That’s on a monthly basis.
John Kartsonas - Citigroup: So, for example for the month of December, did you get benefit of the spike in rates you did?
Bjorn Sjaastad: Yes.
Operator: Your next question comes from Justine Fisher - Goldman Sachs.
Justine Fisher - Goldman Sachs: My first question is just about conversions. Look at few you pieces of that in the market, it’s a fact that the price of VLCC is still very high as per the chart that you showed in your presentation, and in fact the price of VLCC is probably $20 to $30 million higher than the capesize right now. And it seems though one way to determine the price of a tanker is to just take a discounted cash flow of the cash flows you think you’re going to earned on that vessel. So it’s interesting to me that the VLCCs are still higher than the capes. And then in addition to that, the current rates are about even for the two, and then the capesize order book is huge, and it’s much bigger at least that the VLCC order books. So, what do you think if people’s incentive to convert now given all those factors?
Bjorn Sjaastad: I think the conversion is more a question. The size, first of all the difference in construction cost is not what you said. I think it’s a more $50 million than it’s for $20 million. But for the conversions so that you’re carrying capacity of that, for VLOC converted from the VLCC is much bigger than from a cape ship. And it also has to do with the timing and where you can get it because the curve is very steep, the market is much higher short-term than long-term for capes. Yes, and this was of course a single-hull ships, but not new double-hull ships that are being sold for conversion. Its old single-hull ships that basically the owners as we’ve said that are trying to find an alternative home for.
Justine Fisher - Goldman Sachs: Do you know what the difference between the regular capesize, where would it be and then what the VLOC would earn?
Bjorn Sjaastad: I couldn’t say, you have to look at it in the dollar per ton basis, but I couldn’t say that, probably there’s a discount on the per ton basis on the VLOC.
Justine Fisher - Goldman Sachs: The spread between the VLCC and the Suezmax rates, it’s pretty wide right now versus what it’s been at least through 2007. It was pretty same to 2007, and I know that when rates go up generally the VLCC rates are more volatile and so you’ll see that spread widen. But I was wondering if you would think that there are any other factors that could explain that like Arabian Gulf versus non-Arabian Gulf production, etc.
Stephen Elgin: I think you’re right, when the market goes up, VL spend most again, the height of the Q4, the VLCC spot rates peak to $260,000 - $270,000 a day whereas the Suezmaxes went up to $100,000 - $110,000 a day.
Justine Fisher - Goldman Sachs: Are there any other production related factors or is it just the trajectory of rates. Is there anything else going on the market that would account for a wider spread that we saw in ‘07? Or is it just that?
Stephen Elgin: I don’t think there is any other reason there.
Operator: The next question is from Jonathan Chappell – JP Morgan.
Jonathan Chappell – JP Morgan: Bjorn, a couple of questions on strategy you mentioned in your prepared remarks about the big order book going forward, as well as some concerns about the impact the US economy may have an oil demand. With 39% time charter coverage this year, and 30% next year, do you feel comfortable with those levels or may you increase your time charter coverage a little bit to kind of hedge for some economic concerns going forward.
Bjorn Sjaastad: I think when you look at the contract of coverage of 39% for this year that includes the OBO carriers, and it includes our single-hull tonnage. Most of the single-hull VLCCs are in fixed also for ‘09, so that’s basically covered with the same profits with arrangement. And for the OBO carriers, that’s one of the reasons why we are reducing contract coverage that’s because some of the OBOs are going out for existing charters. I’ll expect that during this year, let’s say the first half, we will have also fixed the OBO so that we will approach the 40% also for 2009 for that reason. If you ask about our willingness to do a time charter for on a double-hull fleet, let’s say today for $50,000 a day for one or two years, and also maybe two, three years, right now we’d rather like to trade out in this book market.
Jonathan Chappell – JP Morgan: And on that eight non-double hull ships that you still have in the fleet. Do you plan on selling those assets to the time charters that you currently have in those and may you want to keep them as they generate to stable cash flows? Or do you think that you may want a cash in on the good asset prices right now on the non-double-hulls?
Bjorn Sjaastad: Well, that all depends upon the opportunities. If we see that we can get out of the charters and sell at good prices, yes, we might look for that.
Jonathan Chappell – JP Morgan: What’s your best guess as to would you be selling some of the ships could you get out of the charters or do you think at current market price is right now, you probably keep those ships with the charters?
Bjorn Sjaastad: We might, but of course that depends upon the dry cargo market coming again. Because, that was very strong and if the same strength that we have at last autumn then, definitely I would have said yes, there is a possibility that people would be keen to buy further thing in-house for conversion. And we think that and at least some of our colleagues in the sister companies, they believe that it will improve also on the dry cargo market. So there is a fair chance that that will happen for a few ships, but lot of things need to happen and also since these ships are committed on time charter.
Jonathan Chappell – JP Morgan: Inger, you gave a pretty good breakout of the drydocking off-hire days in ‘06 and ‘07. Do you have a schedule for 2008?
Inger Klemp: No, I am sorry we haven’t. We don’t usually give out that.
Jonathan Chappell – JP Morgan: On the dividend policy, if I look at the presentation, you already have $42 million in gains from transactions plus the $14.7 million from the settlement minus your $20 million for the investment in Navig8. That’s about $35 million in excess cash from 1Q. Would you expect that to be distributed in the form of dividends or would that be used as the equity for some of the new building commitments?
Bjorn Sjaastad: It’s a total picture because all our cash coming in and that’s what we pay in equity installments in the new buildings that will basically be without a doubt.
Inger Klemp: I’ll guess that about that we have some remain in new building installments now in the first quarter, we also have some heavy lift installments, and we also have generation of cash. But total picture that will actually be the excess cash of that, which will then of course be paid out to the to the shareholders.
Operator: Your next question comes from Siri Evjemo Nysveen - Kaupthing.
Siri Evjemo Nysveen - Kaupthing: I have a question about the spot rates that were obtained during the fourth quarter. I was just wondering if you could please elaborate a little bit on the rates achieved, because obviously about 50% of the quarter is quite poor, and then 50% of the quarter was excellent. So maybe if you could put some color on whether and how this would affect the first quarter results that will be very good.
Stephen Elgin: It’s generally time lag in the spot market from when you fixed to when the income is earned to about four to six weeks, since the rate increase came at the last part of Q4 most of that income is attributable to Q1.
Siri Evjemo Nysveen - Kaupthing: So does that mean that you will have most of the rates that are above $100,000 here equivalent to the first quarter earnings?
Bjorn Sjaastad: We said before that we are giving no guidance and specific figures for Q1 so I am sorry for that.
Operator: We have now no further questions in the queue.
Bjorn Sjaastad: Thank you very much for attending this conference call, and have a good day.